Operator: Good morning, and welcome to the KeyCorp 2012 Fourth Quarter Earnings Results Conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Chairman and Chief Executive Officer, Ms. Beth Mooney. Ms. Mooney, please go ahead, ma'am.
Beth E. Mooney: Thank you, operator. Good morning, and welcome to KeyCorp's Fourth Quarter 2012 Earnings Conference Call. Joining me for today's presentation is Jeff Weeden, our Chief Financial Officer; and available for the Q&A portion of the call are the leaders of Key Corporate Bank and Key Community Bank, Chris Gorman and Bill Koehler; and also joining us for the Q&A discussion are our Chief Risk Officer, Bill Hartmann; and our Treasurer, Joe Vayda. Slide 2 is our statement on forward-looking disclosure and non-GAAP financial measures. It covers our presentation materials and comments, as well as the question-and-answer segment of our call today. On Slide 3 are some highlights of our 2012 results. Again, I'd like to make some general comments about the year more broadly. I'm very pleased with the measurable progress we made during the year on our strategic and financial goals. Although the operating environment remains challenging, our results reflect our success in executing on our strategies and further refining our relationship-based model. Some of our key proof points would include revenue, which was up 4% from the prior year as loans grew, net interest margin improved and fees increased. Our average C&I loans were up 21% over last year and led our year-over-year loan growth. Our net interest margin improved in 2012, including a 24 basis point increase in the fourth quarter from the same period a year ago. And I would point out that our margin improvement and C&I loan growth were among the best in our peer group. These were also a positive story. Our commercial real estate mortgage banking group had its best year ever, and it was also a record year for KeyBanc Capital Markets, with strong fee growth from loan syndications, investment banking and debt placement. On the expense side, we achieved $60 million in annualized savings in 2012, a strong start to our expense initiative, which exceeded our original goal we had set for the year. With that momentum, we are on track to realize cost savings of $150 million to $200 million on a run rate basis by year-end 2013. I remain committed, along with the rest of my management team, to achieving our targeted efficiency ratio of 60% to 65% by 2014. Expense levels for 2012 reflect our acquisitions as well as upfront cost for our efficiency initiative and for technology, including a new trust and risk management system, along with the development of new payment and merchant processing capabilities. We closed 19 underperforming branches last year as part of a plan to rationalize our branch network. Another 40 to 50 branches are targeted for 2013. We also launched programs aimed at streamlining our backroom and support operations so we can achieve a more variable and efficient cost space. Our capital management remains focused on value creation. To that end, in 2012, we returned approximately 50% of our net income to shareholders through both common share repurchases and dividends. We also used our capital to acquire market share in Western New York and to develop new revenue streams in the credit card and payments businesses. Turning now to Slide 4. In 2013, our strategic themes remained the same. In the coming year, we are focused on 5 critical areas, consistent with the long-term growth priorities shown on Page 14 of our deck. Specifically, we will continue to leverage our focus and expertise in our targeted client segments to acquire and expand customer relationships. This is most apparent in our middle market and corporate bank, where our mix of distinctive product capabilities with local delivery has us well positioned to take advantage of the business and economic recovery. Next, we will maintain a moderate risk profile. We have substantially improved our credit quality over the past several years by adhering to a robust set of enterprise-wide risk practices. Jeff will have more on credit quality in his comments. Third, we will invest in opportunities to accelerate our revenue growth. In practical terms, this means finding ways to leverage our franchise as we did in 2012 when we deepened our retail footprint in Western New York, enhanced our payments capabilities with credit card and merchant services and invested in online and mobile banking. And just a quick comment on that point. We've been asked about the net impact of our efficiency initiative in the amount of reinvestment of those savings we expect. What I can commit to you is that we are rigorous on our investment decisions, being mindful of the size, timing, resources and prioritizations that they will take. And we will make the right trade-offs to ensure we deliver on our efficiency ratio commitments. However, when we see the opportunity to make an investment that is consistent with or additive to our strategy and it has the right return profile, we will make that investment. There's an old saying that you can't shrink yourself to prosperity, and we must continue to find ways to generate more customers and more revenues. We are committed to doing that and doing that in the way that delivers profitable growth. Fourth, we will improve our operating leverage by growing revenue and creating a more efficient cost structure that is aligned with the current operating environment. As I just said, this is a two-sided equation. We need to be focused and rigorous in both our revenues and our expenses. And finally, we will work closely with our board and our regulators to manage capital to support our client's needs and create shareholder value. Our capital remains a competitive advantage for us in both the intermediate and long term. We continue to imbue the environment for our industry in 2013 as challenging. Nonetheless, I'm encouraged by the fact that our employees have never been more focused on delivering outcomes for clients, and that in turn is giving us real traction in our market. Customers are coming to us and staying with us because we are executing on our strategy and delivering a truly distinctive experience. We had a strong 2012, and one that I am very proud of. But it's not enough, and we all know that. Along with my team and all of the employees at Key, we are focused on sustaining our positive momentum and continuing to drive our performance in 2013 and beyond. I'm confident that our strategies are working, and that we are on the right path forward. Now let me turn the call over to Jeff with some further comments on our results. Jeff?
Jeffrey B. Weeden: Thank you, Beth. Slide 6 provides a summary of the company's fourth quarter 2012 results from continuing operations. As we reported this morning, the company earned a net profit from continuing operations of $0.21 per common share for the fourth quarter compared to $0.23 for the third quarter of 2012 and $0.21 for the fourth quarter of 2011. There are a couple of items I will touch on before moving to the more detailed discussion surrounding the quarterly results on the following slides that impact the current quarter. First, the net interest margin expanded to 3.37%, an increase from both the third quarter of 2012 and the fourth quarter of 2011. Second, we incurred cost of $16 million or approximately $0.01 per common share associated with our Fit for Growth efficiency initiative. Third, credit costs decreased to $58 million or 44 basis points of average total loans. And fourth, we had strong revenue results from our commercial businesses in both investment banking and mortgage banking. Now turning to Slide 7. Average total loans for the fourth quarter were up $1,164,000,000 or 2.3% unannualized compared to the third quarter of 2012. And compared to the fourth quarter of 2011, average total loans were up $3.2 billion or 6.6%. We have continued to have success in growing our commercial loan portfolio from both acquiring new clients as well as expanding existing relationships in our focused industries as demonstrated by the approximate $3.8 billion or 21% increase in C&I loans over the past year. On the consumer front, average loans grew by $312 million, aided by the increase in credit card balances, which were up $282 million from the prior quarter, reflecting the full quarterly impact of the acquired balances from the third quarter 2012 acquisitions. As we look out at 2013, we anticipate average total loans to grow in the mid- to upper single-digit area, continuing to be led by growth in our commercial and industrial loans as we capitalize on our success in our targeted approach to certain industries where we offer a full complement of products, services and advice to clients. Continuing to Slide 8. On the liability side of the balance sheet, average deposits, excluding foreign branch deposits, grew $1.1 billion from the third quarter. And our trend of improving deposit mix continued with an increase in average balances of non-time deposits of approximately $1.9 billion or 3.6% unannualized. And our finding cost continued to decline, contributing to our stronger net interest margin experienced in the fourth quarter. Turning to Slide 9. For the fourth quarter of 2012, the company's net interest margin expanded to 3.37% compared to 3.23% for the third quarter of 2012 and 3.13% for the fourth quarter of 2011. Taxable equivalent, net interest income was $607 million for the fourth quarter, up 5% from the $578 million we reported in the third quarter. The improvement was a result of a 10 basis point decline in funding costs for interest-bearing liabilities and a 7 basis point improvement in earning asset yields. Recall from last quarter, we had 2 leverage leases terminate during the third quarter, which negatively impacted net interest income and the margin by $13 million and 7 basis points. Aiding the fourth quarter margin were stronger fees and an additional dividend on other investments. These 2 items benefited the margin by approximately 4 basis points. Our current expectation, assuming a policy of low interest rates by the Federal Reserve continues, is for the net interest margin to trend lower from the fourth quarter level throughout 2013. For the first quarter of 2013, we anticipate the margin to be in the range of 3.30% and for continued modest pressure in the 1 basis point to 3 basis point area per quarter throughout the year. With respect to average earning assets, we expect to see growth tracking in line with our overall loan growth and would not anticipate any material change in the size of our investment securities portfolio. We remain approximately 1% asset sensitive at December 31, 2012, to a gradual 200 basis point rise in interest rates, with the forward view that asset sensitivity will increase during the next 12 months given normal funds flows, positioning us to benefit if short-term to intermediate-term rates begin to rise. On the noninterest income front, we saw continued solid performance from investment banking and net gains on loan sales driven by higher origination volume from commercial mortgage banking in our Real Estate Capital line of business. As Chris Gorman and Bill Koehler can comment on later on, our pipelines remain good headed into the first quarter. In total, noninterest income was down in the fourth quarter compared to the third quarter due to gains realized from the early termination of certain leverage leases and from the redemption of trust preferred securities during the third quarter in the amounts of $39 million and $54 million, respectively. Turning to Slide 10. Noninterest expense for the fourth quarter of 2012 increased to $756 million, up $22 million from the third quarter. All of these increase was in the personnel area and relates to higher employee benefits, up $11 million; increased severance, up $5 million; and higher contract labor for implementing new technology projects currently underway, up $8 million. In total, these 3 items were up $24 million in the fourth quarter compared to the third quarter of 2012. The increase in employee benefits was due to higher medical claims and an accrual for the annual employee retirement contribution. We expect employee benefit cost to decrease in the first quarter from the elevated fourth quarter level, more than offsetting the normal seasonal increase that we typically experience from higher employment taxes. Severance and other costs associated with our Fit for Growth efficiency initiative are expected to remain elevated throughout much of 2013. And technology related costs are expected to remain at the level we experienced in the fourth quarter through the first half of 2013 before starting to decline as we implement new systems for trust accounting, risk management information systems, Treasury management and card services. Also included in our expense run rate for the fourth quarter was approximately $30 million in cost related to our acquisition of branches in Western New York and our credit card portfolio. These costs were up approximately $4 million from the third quarter and of this increase, approximately $3 million represented additional intangible amortization expense. As Beth commented on earlier, we remain committed to achieving our targeted efficiency ratio of 60% to 65% through planned cost reductions by 2014. Turning to Slide 11. Our net charge-offs declined to $58 million or 44 basis points during the fourth quarter, down from the elevated level of the third quarter when we implemented new regulatory guidance for consumer loan Chapter 7 bankruptcies. The provision for loan losses in the fourth quarter was $57 million. Both net charge-offs and the provision expense were within our long-term targeted range of 40 to 60 basis points for the fourth quarter. And for the entire year, provision expense represented approximately 45 basis points of average total loans. Our expectation for charge-offs and provision expense during 2013 is to remain within our long-term targeted range of 40 to 60 basis points. Also at December 31, 2012, our reserve for loan losses represented 1.68% of period-end loans and 132% coverage of nonperforming loans. And turning to Slide 12. Our tangible common equity ratio and estimated Tier 1 common equity ratio remained strong at December 31, 2012, at 10.2% and 11.2%, respectively. We have also updated our estimated Basel III Tier 1 common equity ratio based on the Feds NPR on a fully implemented basis at December 31, 2012, to be 10.2%. During the fourth quarter, we repurchased 10.5 million shares of common stock at an average cost of $8.37 per share, and we have $88 million remaining authority under our current repurchase authorization for the first quarter of 2013. We also filed our updated CCAR capital plan with the regulators on January 7 of this year and expect to hear back on those findings from the submission at the same time as the rest of the industry during the month of March. That concludes our remarks, and now I'll turn the call back over to the operator to provide instructions for the Q&A segment of our call. Operator?
Operator: [Operator Instructions] Let's begin with Steven Alexopoulos with JPMorgan.
Steven A. Alexopoulos - JP Morgan Chase & Co, Research Division: My question is on the expenses. X the severance charges, core expenses are running around $740 million. And if I look at your comments, that $60 million of cost saves are now realized out of the $150 million to $200 million. This would imply a run rate, right, of somewhere around $705 million to $718 million for expenses with all the cost saves. Now I know you're saying expenses are going to stay high in the first half of '13. But as we get towards the last quarter 2013, is that how we should be thinking about expenses sort of $705 million, $718 million with some adjustment for growth rate of core expenses?
Jeffrey B. Weeden: Steve, this is Jeff. I think as we look at how the year plays out is that expenses will trend down in the second half of the year. We're not giving that specific of a number, but I would say in general terms, you're thinking of it how we're looking at those overall expense trends. And I think we do have to factor in what other investments in terms of business opportunities that may exist. If we see opportunities in the market to add bankers, we will add bankers to grow revenue. So we're really trying to look at it on a net basis, too, in terms of not just the expenses but also focusing on the revenue side of the equation.
Steven A. Alexopoulos - JP Morgan Chase & Co, Research Division: Okay. So just to follow up on that, in terms of the shift on this one slide to the cash efficiency target, could you give us some color on that shift? And should we read into that, that the timing of getting into the 60%, 65% GAAP efficiency ratio range has maybe been extended a bit?
Jeffrey B. Weeden: Steve, I think the cash efficiency ratio of the 60% to 65% just simply excludes the intangible amortization expense that we have. That was an item that also will decrease over time on the purchase credit card receivable amortization. Of course, it's heavier in the first couple of years, and the other core deposit intangible amortization is also heavier in the first couple of years. That will start to decrease over time. So what we wanted to get to is, what's the efficiency ratio x the intangibles. I think that's where we're focused on, and we know we have to -- 65% is the first step. Then we have to figure out how we're going to also continue to step down those overall expenses, as well as grow revenue to get it down closer to the 60% level.
Operator: Our next question comes from Scott Siefers with Sandler O'Neill.
R. Scott Siefers - Sandler O'Neill + Partners, L.P., Research Division: I guess just to kind of follow up on the expense question. How -- when you think about it and kind of in tandem with the revenue outlook, I mean, do you guys think you'll be able to generate positive operating leverage in 2013? Kind of where does that ultimately fit into sort of your priorities? And then I had a second question, unrelated. If you could just provide a little more color on the revaluation of the home equity guidance, just so if you can talk a little bit more about kind of what drove it and sort of where the charge-offs flushed out to?
Jeffrey B. Weeden: Okay. So as we look at, again, I think in terms of positive operating leverage, that is our mission is to grow revenues faster than expenses. That is our outlook as we look at 2013 and beyond. And I think that's one of the things that we're very focused on as a management team. And we're getting some of the lift, of course, not only from a better margin in 2013 than what we had in 2012, but also as we look at overall average earning asset growth now is starting to come into play. Last year, we were very stable in that around $72 billion of average earning assets for the year. This year, our expectation is that average earning assets will trend up with the general overall growth in the loan portfolio. So from that perspective, we feel very positive. I think if you look at the -- then your second part of your question was on home equity. In the third quarter, we, like everybody else that was a national bank, had to make some determinations on the level of Chapter 7 bankruptcies and the amount of a charge-off that we would take. And we work through all of those particular charge-offs in the fourth quarter and actually got down to applying on a loan-by-loan basis across the entire portfolio group. That's what led to some of the shifting around. We took a charge to the home equity book in the third quarter. And as we reapplied on where those charge-offs actually came out in the fourth quarter, that resulted in that adjustment that you saw there. So in total, charge-offs related to the home equity book, about $10 million less across all portfolios related to that Chapter 7 in the fourth quarter.
Operator: We'll take our next question from Josh Levin with Citi.
Josh Levin - Citigroup Inc, Research Division: You talked about the cost-cutting program, but you said you're thinking about investments also. So as you think about the trade-off versus cost cuts versus investing, whether it's investing in people or equipment, how do you think about the minimum payback period for such an investment?
Jeffrey B. Weeden: Josh, this is Jeff. As we look at payback periods as one item, but as also looking at what's the internal rate of return over time, and we want to strive for something that's in the at least the mid- to upper-teens on IRRs related to our investments. We talk about some of these investments that we're really looking at. We really look at the technology side of the equation, remaining at these elevated levels through the first half of 2013. So if you go back and look, we were up basically from where we were in the second quarter. That investment went up about $10 million. It was up $2 million in the third quarter. It ramped up an additional $8 million in the fourth quarter. We expect it to remain at that level for the next couple of quarters as we deliver now some of our systems. And those systems then will help us also make some moves that we have with outside parties currently to bring those on to our own platforms and reduce cost elsewhere. So those are very positive on the payback time periods. Certain other investments, you have to look at your trust accounting system. It's an older system. We're going to a more modern system. It will give more feature and function to our clients and to our bankers internally, so that's a necessary expenditure that we have to make. And again, that will be implemented here in 2013.
Beth E. Mooney: Josh, this is Beth. One thing I would also add in addition, I mentioned the rigor with which we will make those investments. And I'd like to share that part of what we developed in our operating rhythm in 2012 with the [ph] project management office, that that's the business cases and make sure that we're clear about the resources, the staging, the timing and the prioritization we give. And then rigorously also tracks the business value realization. So as Jeff talked about some of the metrics with which we would evaluate the return profile, that we also clearly track that we're realizing the benefit.
Christopher Marrott Gorman: And Josh, it's Christopher Gorman. The other area where we've invested and invested successfully is in people. We think we have a unique business model focused on these targeted middle market companies. And if you look at the 82 people that we brought on that were kind of senior level calling people from the beginning of 2010 until present, that has been a good investment. We also invested in 2010 in mortgage banking personnel, and we're seeing the fruits of that as well. So that's another element of the investment program.
Josh Levin - Citigroup Inc, Research Division: And you had strong loan growth in the fourth quarter. As you look at the first quarter and into the rest of the year, do you have a sense that your loans can continue to grow at that rate? Or do you think there might have been some pull forward, like other banks mentioned, in the fourth quarter?
Christopher Marrott Gorman: So Josh, a couple of things to keep in mind. One, there was some activity late in the fourth quarter, but we don't think it was driving or overriding our business. Clearly, there were some tax-driven activity. With respect to going forward, I think Jeff mentioned that we're comfortable kind of mid to high single-digit numbers, and as we look at our backlogs, as we look at our ability to penetrate new clients, we're comfortable with that on a going forward basis.
William R. Koehler: And I would say -- Josh, this is Bill. As we look at our pipelines in the Community Bank, especially in our commercial businesses, the pipelines are significantly stronger than they were the same time last year. Our pull-through in the fourth quarter was good and yet our pipelines are still strong and I would say importantly, more balanced regionally.
Operator: We'll take our next question from Erika Penala with Bank of America Merrill Lynch.
Erika Penala - BofA Merrill Lynch, Research Division: My first question -- I'm sorry to continue to focus on expenses, but I just wanted to make sure we're thinking about the first half of the year the correct way. So the GAAP expense number is $756 million, and you mentioned that severance expenses would remain elevated near term. If I back out the amortization expense, the credit for lending-related commitments as well as the $16 million in Fit for Growth-related expenses, I get to a core run rate of $742 million, like Steve said. So in the first half of the year, is it flat to the $756 million GAAP number? Or is it flat to that $742 million GAAP number -- or sorry, $742 million core number?
Jeffrey B. Weeden: I think the way that we are looking at this particular number, Erika, is that it will be within that kind of that fourth quarter range for the first half of the year, and that has the additional technology spend in there as well as severance-related costs and other costs associated with our Fit for Growth initiative. So could -- it will be within a range of that, say, $750 million in that particular range for the next couple of quarters. That's the expectation.
Erika Penala - BofA Merrill Lynch, Research Division: Got it. And just my follow-up question is long term in terms of your efficiency goals. So if I strip out all the noise and say that your core run rate right now is $742 million and I think about your expense goals, if I sort of calculate the midpoint of the 60% to 65%, it would imply an additional $460 million of annual revenues or expense cuts to get to the midpoint. And could you give us a sense in terms of where we could get that $460 million from? Is it because the balance sheet is growing much faster than you think? Or are there additional expense cuts beyond '13 that we should look forward to?
Jeffrey B. Weeden: Well, Erika, I think we have to manage expenses. After we take these particular expenses out of the organization, we have to effectively manage the expense base of the company. But we have to have more revenue. So I think that's really where we're becoming much more focused all the time in terms of what we are attacking in the marketplace. Our exit portfolios are getting smaller and smaller all the time, so that's less of a drain that we have. And I think in terms of if once we start to look at the overall core growth, and it's not just the loan portfolio because it's really looking at client penetration and getting more of the overall business from those particular clients. So Chris, do you have [ph]...
Christopher Marrott Gorman: No, I think, Jeff, you're exactly right. We've had a fair amount of success in terms of adding relationships. So for example, this year, we added 669 new relationships. So that will set the stage for future growth. They average about $169,000 or so in revenue. But to Jeff's point, because of our model, we're able to really penetrate the relationships that we have. We talk about expanded relationships. Those are relationships that we do $100,000 more than we did in the first measurement period of 12/31/11. In that case, we had 425 expanded relationships, but in the aggregate, generated about $263 million. So those will be some of the areas getting deeper with these highly focused clients and bringing new clients on to the platform because as we mentioned, we think we can leverage the platform.
Beth E. Mooney: Erika, this is Beth. I would just add one thing for the Community Bank, that as we go through 2013, as Jeff indicated, we will burn through some of the amortization related to the credit cards of [ph] HSBC and that will be more -- so the operating leverage of that will come through more fully.
Erika Penala - BofA Merrill Lynch, Research Division: Got it. Just wanted to make sure I wrapped up on the revenue side. I mean, I got the message in terms of getting to that revenue growth number of around $450 million, $460 million. I guess that would be sort of, obviously, some NII growth as you have loan growth coming in, but also fee growth as you penetrate more deeply into the relationships.
Jeffrey B. Weeden: Yes, it has to come from both. It's not just balance sheet-driven. Particularly in this particular rate environment, I think you've got to have both. You've got to get paid for your balance sheet not only in some form of spread, but you also have to have ancillary businesses in today's environment.
Operator: [Operator Instructions] We'll now take our next question from Ken Zerbe with Morgan Stanley Smith Barney.
Ken A. Zerbe - Morgan Stanley, Research Division: So I guess my first question, or my only question, is for Beth. You mentioned the saying that you can't shrink yourself to prosperity. The question I have though is there's a lot of very highly profitable banks that are much smaller than Key. I would -- could you just walk us through your thought process on why growing is the only viable solution for Key to become more profitable?
Beth E. Mooney: Yes, Ken, this is Beth. I think what we have articulated is we've spent what I would call the last couple of years as we really repositioned and refocused our company around this core value proposition between our Corporate and our Community Bank, where we're clearly built our capabilities distinctively as we've talked about within Corporate Bank with our various vertical strategies, our investment banking, debt and capital market capabilities, mortgage banking capabilities with our local delivery of our Community Bank. Clearly, leverage to a business and economic recovery, and I think we have the proof points in 2012 that shows real momentum in returns from that strategy. I think we have realigned, repositioned and hit what I would call the sweet spot capabilities and clients that will provide growth. So my thinking is that much of the repositioning, shedding that we needed to do, for a lack of a better term, I think has been accomplished. And now it is our time to continue the momentum you saw in 2012, execute that strategy, drive improved performance and valuation.
Operator: We'll take our next question from Jennifer Demba with SunTrust Robinson Humphrey.
Jennifer H. Demba - SunTrust Robinson Humphrey, Inc., Research Division: I think most of my questions have been asked. I'm wondering about what you're looking for in a tax rate in 2013?
Jeffrey B. Weeden: Okay. So on the tax rate on a GAAP basis would be somewhere between 26% and 27%, and on a tax equivalent basis would be somewhere about 100 basis points higher than that 27% to 28%.
Jennifer H. Demba - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And just curious if -- in terms of fee income growth in '13 and probably into '14 as well, what do you see as the major drivers? Is it primarily Treasury management, investment banking, et cetera?
Christopher Marrott Gorman: Yes, I think it will be -- Jennifer, it's Chris Gorman. It'll be across-the-board. But again, our strategy, where we target in these 6 verticals in the Corporate Bank, enables us to sell a wide variety of advice and solution. So payments, our enterprise commercial payments business, that's an important business and it's very, very sticky. We also continue to grow our investment in debt placement fees. That's another real area of focus. We also have been raising a lot of capital for these mid-cap companies. So right now in terms of mix, we're about 57% noninterest income, the balanced interest income, and we don't see that deviating much. We kind of like that mix, 55%, 45%. So it will be across-the-board focused on these very targeted companies.
Jeffrey B. Weeden: That makes us for the Corporate Bank. Overall, we're about 43% on the fee revenue. So I think the Corporate Bank is clearly an important driver of fee revenue for the organization.
William L. Hartmann: And Jennifer, this is Bill. In Community Bank, in addition to some of the fee items that Chris talked about, we have additional opportunity in -- with some of our new payment capabilities; so the card that we've already talked about. But also, we're seeing momentum in our private banking, investment management and trust origination, so that our fees generated from investment continue to improve over time. And we think that is a very interesting opportunity long term and highly complementary to our business model and focus on working with privately-owned companies in the middle market.
Christopher Marrott Gorman: Jennifer, just to give you one kind of proof point on kind of our mix of fee versus interest income. Well, a great case study would be our Real Estate business that we've completely repositioned. The actual balance sheet is about half today what it was in the financial crisis. And as you look at loan origination, this year, loan origination is up 22%, but 57% of that is off balance sheet. So you can see that we continue to look at that mix and how we can use our balance sheet as a lead, 70% or so of the syndicated financed deals we lead, but how we can utilize that to really drive some of the fee income streams you were referencing.
Operator: We'll take our next question from Mike Mayo with CLSA.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: My main question is, how can you be content with an efficiency ratio target of 60% to 65%? I guess it was 69% in the fourth quarter and I suppose 68% or so for the year. So it's certainly an improvement. But when I look back over time, with all the efficiency initiatives KeyCorp has had, and some of this predates you, Beth, but you have Fit for Growth now. You finished Keyvolution, Resource 2000, PEG. When I look all the way back to 1994, your efficiency ratio was 58%. And after 2 decades of all these programs and all the technological advances and all the hopes for economies of scale, you're now targeting an efficiency ratio that's above what you had 2 decades ago. So should you be content with the ratio of 60% to 65%?
Beth E. Mooney: Yes, Mike. This is Beth, and I'll go ahead and just reiterate, obviously, our commitment with Fit for Growth, which is to reduce our expenses by $150 million to $200 million and also to use those to drive revenue in addition to our efficiency plans that get us to that 60% to 65% by 2014. So in addition to the business mix, which we are driving enhanced performance, I believe, through that mix of business and those differentiated capabilities, we're also incurring costs that include regulatory and compliance. We have some costs related to investments that are still early in the days of their return. The examples in 2012 would be Western New York, credit card. Jeff mentioned and I mentioned technology as an enabler of our business and investments in that regard. But I couple those in the context of the improvement in our business performance that is evident in 2012: loan growth, fees, growth in deposits, but awfully a significantly different mix and cost of those deposits. We've had meaningful improvements in our operating results of our Corporate Bank, and we've got many initiatives aimed at improving the performance of our Community Bank, perhaps most notably kind of the headline would be around rationalizing some of our branch networks. So I think we've been, are and will be diligent in considering every meaningful idea. Nothing is off the table, and we are working a portfolio of ideas that fit our strategy and are designed to improve our performance both in the immediate near term as well as over the long term, and we've got a nice mix of ideas in that regard. So I believe we're executing a very sound plan. It will improve our performance and enhance our valuations.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: If I could just have one follow up, and that was helpful. On the one hand, Beth, you said you're -- or KeyCorp is done shedding assets. And on the other hand, you said nothing is off the table. So given underperformance, again, that predates you and efficiency ratios versus the best-in-class players, 52% versus your target of even 60% to 65%, why not have an independent board committee reassess the strategy to create more shareholder value such as by optimizing the geographic footprint? And the reason I asked that is in my mind, having covered the company for 2 decades, again, obviously predating when you got to the company, Beth, but it seems to be so spread out, from Maine to Washington to Florida to Alaska, that maybe that's the root cause for not being as optimized as, say, a U.S. Bancorp or several other banks, large and small. So would you consider having an independent board committee take a look at how to create more shareholder value such as by optimizing the geographic footprint since you said nothing is off the table?
Beth E. Mooney: Yes, Mike. I think it's clear that Key has a very experienced Board of Independent Directors, and they regularly evaluate our strategies, our position in the industry and our markets. They look at our plans, our performance and balance that we're doing the right things for our constituencies and that our plan will drive value for our shareholders. So we believe there's tremendous value in our company, and our job as a management team is to execute on those plans and strategies that we believe will be successful for us.
Operator: And we'll take our next question from Brian Foran with Autonomous.
Brian Foran - Nomura Securities Co. Ltd., Research Division: I guess loan sales, you mentioned the leverage to the improvement in commercial real estate. Is that a line item you can continue to grow from here? Or how should we think about the near-term outlook for loan sales revenue?
Christopher Marrott Gorman: Sure. It's Chris Gorman, Brian. We have a solid pipeline. Our pipeline is, frankly, every bit as big as it was going into this year. If you look at kind of the line items that go through there, which are basically mortgage banking to Fannie, Freddie, FHA and the life companies, we're up from, say, $1 billion in 2010 to just call it $3.9 billion this year. We think it's -- we don't think we can continue probably on that trajectory. But as we look at our pipelines, our pipelines are actually greater today than they were a year ago.
Operator: [Operator Instructions] We'll now take our next question from Nancy Bush with NAB Research, LLC.
Nancy A. Bush - NAB Research, LLC, Research Division: [Audio Gap] business segment and as we know, that's an increasingly competitive segment. Could you just speak to your results in small business? And whether small business customers are sort of demanding things that are different than what they wanted in the past?
Beth E. Mooney: Nancy, this is Beth. I apologize, but the very early -- probably about half your question did not come through. Can we ask you to repeat your question?
Nancy A. Bush - NAB Research, LLC, Research Division: Yes, I just said that KeyCorp has always been recognized as a good small business bank. And if you could just speak to your results in small business since that segment is becoming increasingly competitive and whether -- what the demands of small business are now that perhaps are different than they have been historically?
William R. Koehler: Nancy, this is Bill Koehler. A couple of comments. In the past year or so, we have seen the tone of small business improve. People are beginning to invest more, and we've been able to serve them in 2 ways through providing loans and deposits and other operating capabilities as you normally would. But also by using our SBA capabilities, and we have leveraged them very effectively to support a wide range of small businesses in our footprint to the point where we're even acknowledged by the SBA in May, I believe, or June for -- as a leading SBA lender to middle-market companies in the country. So we feel very good about where our clients and prospects are in terms of wanting to build their businesses and invest in them. They're still a little cautious, but they're stronger. And we have proven an ability to continue to serve them. We see opportunity ahead. Chris mentioned payments as an opportunity to further penetrate our clients, add more value and generate more revenue over time. But we feel good about the progress we're making.
Beth E. Mooney: And Nancy, this is Beth. I would add that one of the things as we track various levels in business volume and pipeline, this particular market segment has been perhaps the slowest to regain confidence and really start borrowing and lending again. And we noted what I would call the inflection point in the fourth quarter of 2011. But as we close out 2012, there's been a notable increase in pipelines in new business volume and business banking, coupled with some behavior that's similar to middle-market clients while retaining more cash. And we have really also worked to make sure not only we have the business capabilities, that we'd also connect those business owners to our private bank to help them maximize and optimize both their business assets of their personal assets.
Operator: We'll now take our next question from Matt O'Connor with Deutsche Bank.
Robert Placet - Deutsche Bank AG, Research Division: This is Rob Placet from Matt's team. I was just curious, how meaningful could fee revenue opportunities be from the recent deals and investments you guys made in credit card and payment areas?
William R. Koehler: I guess -- this is Bill, Rob. We feel very good about the progress we are making in both cases. In credit card, we are growing our accounts at a faster rate than planned. We're seeing improvement in fees -- or I should say dollars transacted per -- dollars per transaction. So we're seeing a lot of evidence that our integration process is working well. We think we can grow that nicely over time. And in the case of HSBC, within that franchise, we're seeing similar positive dynamics. Retention rates of those clients have been better than planned. Employee retention is better than planned. So we see some momentum building, and we think we can continue to grow it.
Beth E. Mooney: And Rob, this is Beth. I would give you kind of a particular metric that I look at when I think about it, specifically about the income opportunity. Not having been a credit card issuer, our platform would have been more debit card-focused: freebies, [indiscernible] and obviously, in a different environment before Durbin. And we have 70% penetration in our checking account of debit cards. Now granted people use debit cards in a variety of ways and a variety of reasons, but bringing back in credit card and becoming a credit card issuer, our penetration on credit card currently is only 12%. So if you think about the opportunity to align that with our relationship rewards and all our core product capabilities and create more choice of how people exercise payment capabilities between debit card and credit card both for transactional needs as well as revolving credit. There is a significant fee opportunity that will come from that, both through growth but also through just penetration with our own client base.
William R. Koehler: And Rob, one other thought. We just spoke about the revenue side here. As part of our integration plans, there are opportunities to improve our infrastructure costs as well, which end up flowing through to the bottom line.
Operator: And we'll take our next question from Gerard Cassidy with RBC Capital Markets.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Beth, can you share with us, when you guys look at your capital, clearly it would appear to most of us that you're very well capitalized, especially when you look at the Tier 1 common ratio and the Basel III. I assume you guys will be around the 7.25% to 7.5% requirement. What level above that are you willing to carry the bank at? And second to that, in terms of what the CCAR, in terms of your application, can you share with us if you applied for more of a return of capital than what you did last year?
Beth E. Mooney: Yes, Gerard, I'll go ahead and start with that, and then I'll let Jeff talk about relative capitalization levels. On CCAR, I would tell you that we very much did like the starting point that we went into this year's process. As you noted, we had strong capital, solidly profitable, rebalanced, derisked our balance sheet, and I think we've got very strong process and strong models, which are all important to that process. Our capital remains solid even after the plans we submitted, and what we submitted would be consistent with our capital priorities. And as we've talked about them, if the opportunity to increase our dividends to our shareholders, an opportunity to look at share repurchases, an opportunity to have a return of capital, so everything we submitted would be consistent with that, and we, like the rest of the industry, will share more broadly in March with the expected announcement of the results with the Federal Reserve.
Jeffrey B. Weeden: And Gerard, on Basel III, I think we have to wait until we see the final rules to come out to determine where we're going to operate and where the industry is going to operate. Clearly, at this particular point in time, we start with a very solid position and of course, that will be something that we'll have to manage to whatever those targets are over time. It's not our expectation that anybody is going to be allowed to do a major step change in their overall capital. So I think consistent with what Beth is talking about, the capital plans are filed, we go through the process and we wait to hear back in March on that.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Beth, I don't know if you want to disclose this, some of the other banks have -- that they've applied for more of a return of capital this year than last year. Did you -- would you guys be able to tell us if your number is going to be greater than the 50%, I think, you mentioned earlier in the call?
Jeffrey B. Weeden: Gerard, this is Jeff. I think in terms of the 50% that was in 2012, it was really for 3 quarters because we did not have any share repurchase plans in place in the first quarter of 2012. So last year's CCAR covered a period of the second quarter through the first quarter of 2013. And I believe we talked about we have $88 million remaining under that authorization at this point in time. We evaluate share repurchase, dividends and all the rest of the potential needs for capital when we put together our capital plans and submitted it. And I think we will simply wait until the findings come back from the Federal Reserve and disclose that information at that particular point in time.
Operator: We'll take our next question from Alan Straus with Schroders.
Alan Straus: I was just kind of following up on Mike Mayo's question. Why is the target of 60% to 65%, the efficiency ratio, so much lower or actually the ratio is higher than some of the leading banks? And where did that number come from?
Beth E. Mooney: Yes, this is Beth, and I will start with a piece about our business mix and our business model does have differences. And from where we start, we're targeting 60% to 65% by 2014. And I think some of the tenor and the tone of what we try to convey today is that will reflect the demonstrable progress we intend to make in 2013. But we're also committed to being a company that works continuous improvement and has a business model that will also have more opportunities for revenue growth over the intermediate and long term as well.
Alan Straus: Okay. Just one last question. Do you guys give out average -- ending assets, not average assets, at the end of the quarter but ending assets?
Jeffrey B. Weeden: It's there in our balance sheet, so they’re directly in the press release. You can look at ending, average, all different -- they're in the press release.
Operator: We'll take our next question from Ken Usdin with Jefferies.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: I just want to come back on the efficiency ratio question. Beth, when you mentioned 2014 and you mentioned 60%, 65%, I just want to make sure we're all super clear. 60% to 65% is you're expecting that to be on a cash basis or on a GAAP basis when you speak about 2014?
Jeffrey B. Weeden: It's on a cash basis. But if you look at the amount of amortization that we have in any given year, what we're currently running at would amount to about $45 million.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Right. So it's not that much. And then the second clarifying question is, are you talking about getting there on a full year basis or by the end of the year?
Jeffrey B. Weeden: We talk about entering 2014 at that level.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Entering, okay. So -- and does that mean in the fourth meaning you're there at the end of the fourth when you report fourth quarter earnings or you mean first quarter? These are the questions that were coming in there. So I just want to make sure everyone is super clear.
Jeffrey B. Weeden: We mean in the first quarter of 2014. So 2013 is our year to show that we are making that step improvement, that we're taking cost out of the organization and we're growing the franchise at the same time. So as we go through the year, the expectation in the second half of the year is you'll see improvement over what we're running at in the first half of the year, and then we will have the full benefit as we enter 2014. We're trying to be as aggressive as possible in addressing our cost in the first half of the year to get as much as we can. And we'll provide, obviously, updates as we go on through this calendar year. That is our current plan. And I think we've been pretty transparent in our previous comments that we've made about other forms of expectations in the past, whether it's been on margin, expense levels, et cetera. So that is what we are targeting in the year, starting next year.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: So first quarter '14, cash efficiency ratio get breaks into 60% to 65%.
Operator: We'll take our next question from Steve Scinicariello from UBS.
Stephen Scinicariello - UBS Investment Bank, Research Division: Just a big picture question for you, Beth. As I kind of look at all the focus areas that you have for 2013 and all the opportunities that you have, whether it's increasing the revenues through the fee income and average earning asset growth, continuing to manage the expenses, optimizing the franchise, deploying capital, all these things. I was just curious, as you look at the year, how do you rank these opportunities and which ones give you the most bang for the buck?
Beth E. Mooney: Yes, Steve. As I look at it, I think several of the priorities, we are well in flight. I mean, it's a matter of continued rigorous focus that would be and maintain our moderate risk profile. I think returning within our targeted range on charge-offs and having realized significant benefit of quality of improvement in our balance sheet is something we just need to stay focused on. Our distinctive business model, I think, is already showing results and has been in our 2012 proof point. So I think continuing to invest smartly and drive our business outcome is a momentum we take into 2013. So I think the 2 areas that are highest on our radar screen would be aligning our cost structure and delivering on our Fit for Growth commitments, in a way where our targeted investments as well as our business strategy creates a trajectory of revenue to meet that 60% to 65% cash efficiency ratio as we start 2014.
Stephen Scinicariello - UBS Investment Bank, Research Division: Makes total sense. Sounds like 2013 should be one of playing a lot more offense rather than defense, and definitely look forward to that.
Operator: Due to time constraints, that does conclude our question-and-answer session for today. I would now like to turn the conference back over to Ms. Beth Mooney.
Beth E. Mooney: Yes, thank you, operator, and thank you for taking your time all to -- out of your schedule to participate in our call today. If you have any follow-up questions, you can direct them to our Investor Relations group, Vernon Patterson or Kelly Lammers. Their number, (216) 689-3133. And that concludes our remarks for today. Thank you.
Operator: This does conclude today's conference call. Thank you all for your participation.